Operator: Hello, and welcome, everyone, to the Third Quarter Fiscal 2023 Earnings Call for Commercial Metals Company. Today's materials, including the press release and supplemental slides that accompany this call, can be found on CMC's Investor Relations website. Today's call is being recorded. [Operator Instructions]  I would like to remind all participants that during the course of this conference call, the company will make statements that provide information other than historical information and will include expectations regarding economic conditions, effects of legislation, U.S. steel import levels, construction activity, demand for finished steel products, the expected capabilities, benefits and time line for the construction of new facilities, the company's future operations, the time line for execution of the company's growth plan; the company's future results of operations, financial measures and capital spending. These and other similar statements are considered forward-looking and may involve certain assumptions and speculation and are subject to risks and uncertainties that could cause actual results to differ materially from these expectations. These statements reflect the company's beliefs based on current conditions but are subject to certain risks and uncertainties, including those that are described in the Risk Factors and Forward-Looking Statements section of the company's latest filings with the Securities and Exchange Commission, including the company's latest annual report on Form 10-K and quarterly report on Form 10-Q. Although these statements are based on management's current expectations and beliefs, CMC offers no assurance that these expectations or beliefs will prove to be correct, and actual results may vary materially. All statements are made only as of this date. Except as required by law, CMC does not assume any obligation to update, amend or clarify these statements in connection with future events, changes in assumptions, the occurrence of anticipated or unanticipated events, new information or circumstances or otherwise. Some numbers presented will be non-GAAP financial measures, and reconciliations for such numbers can be found in the company's earnings release, supplemental slide presentation or on the company's website. Unless stated otherwise, all references made to year or quarter-end are references to the company's fiscal year or fiscal quarter. And now for opening remarks and introductions, I will turn the call over to the Chairman of the Board and Chief Executive Officer of Commercial Metals Company, Ms. Barbara Smith.
Barbara Smith: Good morning, everyone, and thank you for attending CMC's third quarter earnings conference call. As we reported in our press release this morning, it was another period of outstanding financial results with quarterly core EBITDA performance among the best in our company's history. I would like to thank CMC's 12,500 employees who have made these results possible. Your hard work and focused efforts are driving our success. For this morning's call, I'm joined by Commercial Metals Company President, Peter Matt; as well as Senior Vice President and Chief Financial Officer, Paul Lawrence. I will start today's discussion with a few comments on CMC's third quarter results and give an update on our strategic growth projects. Peter will then provide commentary on current market conditions and factors behind CMC's long-term demand outlook. Paul will cover the quarter's financial information in more detail, and I will then conclude with our outlook for the fourth fiscal quarter after which we will open the call to questions. Before diving into more details on the quarter, I'd like to direct listeners to the supplemental slides that accompany this call. The presentation can be found on CMC's Investor Relations website.  As I noted, CMC's third quarter fiscal 2023 earnings were among the strongest in our company's 108-year history. We reported net earnings of $234 million or $1.98 per diluted share on net sales of $2.3 billion. Excluding the impact of non-operational items, which Paul will discuss in more detail, adjusted earnings were $239.7 million or $2.02 per diluted share. CMC generated core EBITDA for the quarter of $391.7 million, an increase of 29% from the prior quarter producing an annualized return on invested capital of 19.1%. This marks the North America segment's 10th consecutive quarter of year-over-year EBITDA growth and the 20th quarter of year-over-year growth in the last 21 quarters, excluding the gain on the sale of land recognized during the second quarter of fiscal 2022. I will now provide an update on CMC's key strategic growth projects. I am pleased to share that operational startup of Arizona 2 is now underway. This operation marks yet another industry first for CMC as the only micro mill in the world capable of producing both rebar and merchant bar in a continuous process. As a reminder, at full run rate, we expect Arizona 2 to produce approximately 350,000 tons of rebar and 150,000 tons of merchant bar annually. The ramp-up to this level should cause minimal market disruption as we have maintained CMC's presence in the West Coast following the closure of our former Steel California operations in anticipation of bringing Arizona 2 online. Output from our new micro mill where we placed shipments from locations in the Central and Eastern U.S. further optimizing our footprint. As we have discussed previously, the addition of Arizona 2 provides a number of strategic benefits to CMC's portfolio. It will extend our geographic reach in merchant bar to the West Coast and provide optimal access to the sizable Southern California and Arizona markets. Additionally, it will help form a unique steelmaking complex through its co-location with our existing Arizona micro mill, allowing for shared staff support, production optimization, improved production scheduling and shared site infrastructure. The operational flexibility of Arizona 2 will also provide the ability to seamlessly adjust output of rebar and merchant bar to quickly address market conditions and opportunities. Looking ahead to fiscal 2024, we initially expect our new mill to produce approximately 400,000 tons with output approaching full run rate by the end of the fiscal year. We anticipate Arizona 2 will achieve breakeven on an EBITDA basis during the first quarter and improve from there as production increases, assuming metal margins remained fairly consistent with current levels. We believe Arizona 2 should add roughly $70 million to $80 million to CMC's sustainable through-the-cycle EBITDA. Turning to our other exciting new mill project. Progress at the future Steel West Virginia site remains on target. We anticipate receiving the air permit in the coming weeks and expect to break ground during the middle of summer. We look forward to providing further updates over the next several quarters as we hit key project milestones.  We recently celebrated one year since the acquisition of Tensar, an industry-leading provider of engineered solutions for ground and soil stabilization that uniquely complement our concrete reinforcing steel products. Several of the first year highlights are shown on Slide 6 of the supplemental presentation posted to our Investor Relations website. We purchased Tensar with the expectation that it would represent a significant new growth platform for CMC with a meaningful runway of long-term value creation opportunities through increased market adoption, commercial synergies and additional growth targets. Our experience during the first year has validated this view and reinforced our expectations for future prospects of this business. The successful launch of Tensar's newest geogrid design, InterAx, has shown the potential to achieve increased market penetration and share of wallet through engineered solutions that offer a compelling customer value proposition. We have a clear path toward executing on a broad commercial strategy, one that leverages a unique portfolio of reinforcement solutions to deliver more value to project owners, general contractors and project engineers. Since the acquisition, Tensar has generated EBITDA of $61 million, punctuated in May by the achievement of its best monthly results since joining CMC. While this first year performance was within our initial range of expectations, we see further upside ahead by executing across a number of fronts. First, we see significant opportunity to increase market penetration, which is currently in the mid-single digits through an excellent value proposition and sustained marketing efforts. The launch of the InterAx product line highlights Tensar's potential to drive broader adoption. In less than two years on the market, InterAx has grown to roughly 20% of our geogrid volumes. This product has years of patent protection remaining and is, by far, the premier offering in the marketplace. In addition, we continue to improve production reliability and have an opportunity to add low-cost capacity to meet growing demand. Our recent acquisition of BOSTD in Oklahoma supports this goal by increasing CMC's control of our geogrid supply chain providing the ability to expand production in the Central U.S., which is a large and growing market. Longer term, we expect commercial synergies and expansion into new product adjacencies to drive meaningful earnings growth. We are confident in our outlook for Tensar to become an increasingly important contributor to CMC's financial success. I would remind you that it is a highly seasonal business, so progress along this growth path may at times be less apparent due to typical quarter-to-quarter variations. Before turning the call over to Peter, I'd like to comment on the bolt-on acquisitions we have completed since the start of the fiscal year. Each transaction supports CMC's strategy by either securing critical inputs to our manufacturing operations or enhancing our ability to serve our customers. In three separate transactions, we acquired recycling operations in California, Texas and Tennessee. The addition of the California location supports our growth in steelmaking in the Western U.S., while the other facilities increase the security of scrap supply to our mills within core markets. Finally, the acquisition of Tendon Systems, a leading supplier of post-tension cable to the Southeast market, complements CMC's existing footprint in the region and adds valuable engineering and commercial expertise. Post-tension cable is used in conjunction with rebar and the ability to offer a bundled package increases the ease of doing business for customers. With that overview of strategic projects, I will now hand the call over to Peter to discuss conditions in CMC's end markets.
Peter Matt: Thank you, Barbara, and good morning to everyone on the call. Before providing remarks on CMC's end markets, I would like to share a few observations for my first two months as President. My time has been filled with site visits and conversations with employees from across the organization, and I have come away with a true appreciation for the quality of our culture and our people. It's clear that our team members are truly dedicated to our customers and to each other. It's also clear that our people excel at meeting challenges from routine business issues to spearheading the adoption of breakthrough technologies. After meeting these folks, it's no surprise that CMC has become an industry leader and built a track record of innovation and financial success. I am highly energized by the opportunity to work closely with such a talented group of people and to join a management team I greatly respected during my tenure on the company's Board of Directors. Now turning to CMC's markets in North America. Conditions remained strong with healthy demand for our products and generally favorable margin environment. The value of our downstream backlog ended the third quarter at a record level for this time of year, up roughly 4% from a year ago. Volume in our backlog is also at historically high levels and conversations with customers indicate that other fabricators are similarly situated, which should support finished steel shipments over the next several quarters. CMC's downstream bidding activity for newly announced projects, which provides the best view of developments within the future project pipeline also remained robust, increasing nearly 30% on a year-over-year basis. Projects in the pipeline continue to represent a healthy blend of both private and public work, spanning across our geographies. We are experiencing particular strength in local infrastructure projects, manufacturing, data centers, LNG investments and e-commerce. There is also surprising resilience in some construction market segments that are typically more sensitive to higher interest rates, including office space, general commercial -- and general commercial. While we expect a slowdown in these areas, it is not yet reflected in our activity. Our view is echoed by external indicators that have been historically reliable. The first is the Dodge Momentum Index, which tracks projects entering the planning phase and generally leads on the ground activity by nine to 12 months. The May reading increased by 11% from a year ago; and though down month-over-month, remained within the top decile of all months reported over the last 20 years of data. Moreover, both the commercial and institutional components grew increasing by 7% and 18%, respectively. Spending on highway and street construction, as tracked by the U.S. Census Bureau has increased 20% and or more over the last -- on a year-over-year basis, each month since August of 2022. This is consistent with comments that we have made on previous calls regarding the growth in state highway budgets and the record level of new highway and bridge contracts awards that have occurred -- that occurred last year. We believe this uptick in activity represents the early stages of rising infrastructure investment. Another metric we watch is the Dodge Analytics Infrastructure Design-Phase Index, which indicates that federal funding is flowing through the project pipeline. This measure increased by nearly 700% on a year-over-year basis in the three months ended in April.  So to sum up, while we continue to monitor a range of market indicators, on balance, we see good activity and positive future signals for our key segments. Now let me zoom out a bit and discuss where we are, where we came from and more importantly, where we believe we are going in terms of domestic rebar demand. U.S. consumption has been consistently above 9 million tons on an annualized basis since mid-2021 and is running about 6% to 10% above the pre-pandemic average from 2015 to 2020. This level of demand already reflects the downward adjustment in the housing market that occurred in early to mid-2022. Following a sharp decline, U.S. new housing starts have stabilized at rates 10% to 15% above where they were prior to the pandemic.  We believe the powerful structural trends we are witnessing have the potential to drive rebar consumption well above the level seen on Slide 7. These trends include the reshoring of critical manufacturing, infrastructure investment and investments in energy to support the transition to renewables and the realignment of global energy trade. There is over $1.1 trillion of either direct federal funding or announced large private projects that will be executed over the next several years to address these needs. This massive figure incorporates approximately $350 billion in reshoring projects within the semiconductor and automotive supply chains. To this, there are likely to be added hundreds of smaller reassuring investments across a number of other industries that will also benefit rebar demand. Slide 8 provides an overview of domestic rebar consumption and some of the major factors that we believe could have an impact on demand over the next several years. As you can see, about 55% of consumption is in markets that are or will be receiving direct federal funding or incentives, much of which will be subject to Buy America provisions. We would also categorize about 2/3 of demand as having relatively low sensitivity to interest rates. These are markets that are driven by necessity and rely heavily on either public funding or strong corporate balance sheets. Further, of the remaining 1/3 of consumption that tends to be interest rate sensitive, the majority is residential construction.  As I indicated earlier, new residential starts have actually stabilized above pre-pandemic levels despite 30-year mortgage rates nearly doubling since 2022. We believe this points to structural support for new construction provided by an ongoing shortage of housing inventory in most metropolitan areas. This leaves about 10% of U.S. rebar consumption that is both highly sensitive to lending conditions and unsupported by structural factors such as economic necessity or low levels of existing inventory. Taken together, we believe the multiyear outlook for rebar demand is strong. The markets that are most rebar-intensive are receiving increased investment dollars, while the construction segment is likely to contract such as office, retail and hospitality are far less rebar-intensive and comprise a relatively small portion of overall consumption. As an example, $1 of infrastructure construction will consume roughly 5x to 6x more rebar than $1 spent on construction of a standard office or retail building. While my comments regarding the potential impact of structural economic trends have focused on rebar, we also expect these benefits to carry over to our Engineered Solutions businesses. Tensar soil stabilization solutions are used in highway applications, access roads into green energy projects and to improve the structural rigidity of massive building foundations, such as those under manufacturing plants. Looking briefly at CMC's merchant bar end markets, we continue to experience stable demand across most applications and supply chain inventories appear to be in good shape. Turning now to Europe. Current market conditions are more challenging and the near-term outlook is less certain. Construction activity in recent months has slowed, driven by the impact of higher interest rates on the residential market. The pipeline for new home construction, as indicated by building permits has contracted sharply since mid-2022 and is now affecting on-the-ground activity. Some relief may be ahead. We mentioned in our second quarter earnings call that the Polish government was developing a plan to support the housing market through assistance to first-time homebuyers. We are encouraged that this measure passed through the parliament in late May and is expected to be implemented on July 1. The legislation will provide qualified buyers with mortgages at 2% interest compared to the current market rate of 9% to 10%. This should benefit residential construction activity but the magnitude of the impact remains to be seen. Another encouraging development is the recent announcement by Intel regarding the planned construction of a $4.6 billion semiconductor assembly plant which is expected to be completed in 2027. The project is the largest greenfield investment in the history of Poland and highlights that the build-out of semiconductor supply chains is not limited to North America. Industrial activity in Central Europe continues to be impacted by ongoing energy concerns and weak economic sentiment. The current state of manufacturing in the region is best highlighted by 11 consecutive contractionary monthly readings for German manufacturing PMI and 13 straight in Poland. Despite this challenging backdrop, our team in Poland has been able to maintain historically strong shipment volumes by leveraging their operational flexibility Looking ahead, we believe that lower European energy prices and the stimulus of Polish home buying will provide support to our key end markets. We expect that our strong competitive position with both cost and operational flexibility will allow us to maintain volumes above historical levels. And with that, I will now turn the discussion over to Paul to provide more detail on our financial results.
Paul Lawrence: Thank you, Peter, and good morning to everyone on the call. As Barbara noted earlier, we reported fiscal third quarter 2023 net earnings of $234 million or $1.98 per diluted share compared to the prior year levels of $312.4 million and $2.54 per diluted share. Results this quarter include a net after-tax charge of $5.8 million related to ongoing commissioning efforts at Arizona 2. Excluding this item, adjusted earnings were $239.7 million or $2.02 per diluted share in comparison to adjusted earnings of $320 million or $2.61 per diluted share during the third quarter of fiscal 2022. Core EBITDA was $391.7 million for the third quarter of 2023, representing a 19% decline from the record $483.9 million generated during the prior year period, but still amongst one of the most profitable quarters in CMC history. Slide 12 of the supplemental presentation illustrates the year-to-year changes in CMC's quarterly results.  Our North America segment achieved earnings growth, while Europe experienced a reduction from the record set in the prior year quarter. Consolidated core EBITDA per ton of finished steel of $245 remained well above average historical levels and compared to $293 per ton a year ago. CMC's North American segment generated adjusted EBITDA of $402.2 million for the quarter, equaled to $344 per ton of finished steel shipped. Segment adjusted EBITDA improved 6% on a year-over-year basis and 34% sequentially. The increase from the third quarter of fiscal 2022 was primarily the result of significant expansion in the margin of average downstream selling price over scrap costs. Sequential improvement was driven by a combination of higher shipments and meaningfully lower controllable cost per ton of finished steel. Controllable cost per ton in the quarter benefited from improved fixed cost leverage, lower per unit cost for key consumables and a lower cost burden related to major planned maintenance outages. As we have mentioned on prior call, CMC is undergoing two significant replacement and upgrade projects this year. The first was entirely executed during the second quarter. Due to the timing of costs related to the second project, the costs are split nearly evenly between the third and fourth quarters. Turning to Slide 14 of the supplemental deck. Our Europe segment generated adjusted EBITDA of $9.6 million for the third quarter of 2023 compared to a record $121 million in the prior year period. The decline was primarily driven by lower margin over scrap, higher costs for energy and a reduction in shipment volumes. CMC energy procurement remains competitively positioned relative to the broader European industry, but no longer provides us with the outside advantage we enjoyed in fiscal 2022. We anticipate that energy costs will continue to improve sequentially in the fourth quarter as the April 1 reduction in contractual natural gas pricing will be fully reflected in our results. Europe volumes decreased 10% compared to the prior year. As a reminder, the prior year benefited from accelerated customer buying in the wake of the Ukraine invasion. Demand conditions within Central Europe are challenging. Though as Peter mentioned, some relief could be provided by the recently passed legislation. We believe CMC is well positioned for this current period of volatility in Europe. We are a low-cost industry leader with operational flexibility to adjust and serve changing market conditions. Tensar generated EBITDA of $17.4 million during the third quarter, ending the period with its strongest month yet as a division of CMC. The EBITDA performance yielded a margin of approximately 25%, up approximately 750 basis points from the prior quarter. The increase was driven by a strong seasonal pickup in demand, improved production performance at the domestic manufacturing facility as well as growth in sales of InterAx, Tensar's newest and highest margin geogrid solution. As a reminder, Tensar's performance is included within CMC's existing segments. Of the $17.4 million in EBITDA, $13.6 million was included within CMC's North America segment, while the remaining $3.8 million was reported within the Europe segment. Moving next to the balance sheet. As of May 31, cash and cash equivalents totaled $475.5 million, which reflected the repayment made earlier last month of $214.1 million in maturing senior notes. It should be noted that CMC does not face another note maturity until 2030. In addition to cash and equivalents, we had approximately $958 million of availability under our credit term loan and accounts receivable facilities, bringing total liquidity to approximately $1.4 billion. During the quarter, we generated $375.8 million of cash from operating activities, with working capital being a modest positive factor. Our free cash flow amounted to $225.3 million, defined as our cash from operations, less $150.5 million of capital expenditures. Our leverage metrics remain attractive and have improved significantly over the last several fiscal years. As can be seen on Slide 18, our net debt-to-EBITDA ratio now sits at just 0.5x. We believe our robust balance sheet and our overall financial strength provide us the flexibility to finance our strategic organic growth projects and pursue opportunistic M&A, while continuing to return cash to shareholders. CMC's effective tax rate was 24.5% in the third quarter. And looking ahead to the fourth quarter, we currently expect an effective tax rate of between 23% and 25%. Turning to CMC's fiscal 2023 capital spending outlook. We expect to invest between $575 million to $600 million in total. Outside of normal sustaining investments, expenditures in 2023 are directed towards finalizing the construction of Arizona 2, funding major upgrade projects at the two domestic steel mills as well as initial investments related to Steel West Virginia. CMC continues to deploy capital to support our growth plan and reinforce our core operations. During the quarter, we invested $101.9 million for strategic bolt-on acquisitions, which Barbara covered earlier.  And lastly, CMC purchased 352,000 shares during the fiscal third quarter at an average price of $46.92 per share. Transactions since the initiation of the buyback program through the third quarter have amounted to approximately $245 million, leaving $105 million remaining under the authorization. And with that, I will now turn the call back to Barbara for comments on CMC's financial outlook.
Barbara Smith : Thank you, Paul. We expect financial performance to remain strong during the fourth quarter, generally consistent with third quarter levels. North America finished steel shipments are anticipated to be relatively unchanged sequentially, supported by healthy end market demand and a historically high downstream backlog. Margin levels in North America should likewise be similar to the prior quarter. Results in our Europe segment are also expected to remain consistent with the third quarter, reflecting a challenging margin backdrop and ongoing economic uncertainty. Our team in Poland has the skills and operational capabilities to navigate this difficult environment and they will leverage CMC's market-leading cost position to maintain profitability. Once again, I would like to thank our customers for their trust and confidence in CMC as well as all of the CMC employees for delivering yet another quarter of outstanding performance. With that -- go ahead.
Operator: [Operator Instructions] Our first question is from Tristan Gresser with BNP Paribas.
Tristan Gresser : I have two. The first one is on the new micro mill. You disclosed some EBITDA figures, I think, of the earning potential of $75 million on average on EBITDA. I believe initially the earnings potential of those mill was closer to $50 million. So what has changed really in this, if I calculated this $50 uplift? Is that the result of the structural changes you mentioned in the presentation and you flagged in the past and you're currently witnessing in the marketplace? That's my first question.
Barbara Smith : Yes. We are really excited about Arizona 2. In fact, I was there on Monday as they were doing their commissioning activities, and they achieved a significant milestone. So it was really exciting to be with the team. As we look at the expectation from the Arizona 2 operation, it's exactly what you pointed out. If we look at through the cycle, average performance, we really have updated based upon current past 10-year results or past five to seven-year results, and that is showing that structural uplift through the consolidation of the industry and other factors.
Tristan Gresser: All right. That's really clear. And maybe my second question is more on the fabrication outlook. I think some peers have flagged some delays within their downstream operation. Is that also something you've witnessed across your specific products and geographies? And you touched on the backlog and the bid volumes that remain pretty healthy. If you could maybe touch on how meaningful the reshoring activity, all those new semiconductor plants that are being built, how does that contribute to this really healthy activity level?
Barbara Smith : First, let me address the delays. I think we've studied the commentary and what I would reflect is, every project is different. And there are certain segments of the industry that may see different demand scenario. What CMC is experiencing is the following. There still are challenges from supply chains and there still are challenges with labor and then you factor in weather and other things. So shipping activity on certain projects, not all projects can be affected by those ongoing supply chain or labor challenges in the marketplace. And we've seen that in some jobs that we are carrying in our backlog. But if you look at the situation more broadly, as we indicated, as Peter indicated in his commentary, our backlogs are extremely healthy. We are very encouraged by what we hear from other fabricators. We're very encouraged by the bidding activity, which remains very robust. And a lot of that is underpinned by things like what you mentioned, the supply chain rebalancing and the number of onshoring activities. Those have been consistently strong, and there's a strong pipeline moving forward. The various infrastructure and other legislation that has been passed, whether that's IIJA or the IRA or the CHIPS Act, every one of those bills has an enormous amount of support for various infrastructure or energy transition or onshoring type of activity. Some of that we've seen already, as we've indicated in the chip plans that we've been associated with here. But much of that is still activity that we expect to see in the future. It was highlighted in the script, this new chip plant in Poland. That is a very, very positive development from our vantage point for our Polish operations. And we believe that we're very well positioned to participate in that, and we look forward to that. So we remain quite optimistic for a strong demand backdrop, both near term, medium and even if you look at it on the longer term.
Peter Matt: I might just jump in and add, so to complement Barbara's points on the infrastructure bill, we've said in the past that, that's 1.5 million incremental tons of rebar demand per year, and we think we're on the very front end of that. And on the kind of reshoring projects, you've got -- we can count over 300 billion of projects that are kind of -- will have substantial rebar demand. And for example, just to put it in context, again, if you look at one of these chip factories, one phase, they talk about demand of something like 100,000 tons, right? So there's -- a lot of this that still needs to be clarified, but the one thing that's clear is that there will be a good backlog going forward for our products.
Operator: The next question is from Timna Tanners with Wolfe Research.
Timna Tanners : Just wanted to -- I have a bunch of questions. I wanted to ask a little bit about the impact of falling global rebar prices on your operations. Seems like the offset was a strong fab business and falling scrap prices. But just would like a little more color on what you're seeing on imports and how you see your end markets holding up relative to those lower global prices?
Paul Lawrence : I'll start off, Timna, and Barbara and Peter can add. You're right. In terms of what we have experienced is -- it really has started with a soft scrap market, and we benefited from scrap that came down over the last few months and really is expected to continue to be soft for the balance of the summer. And given the strength of the rebar demand, we are -- we have seen and expect to continue to see that we can hold on to pricing for a longer period of time. It's very similar to the back half of 2022 when we saw scrap fall much of the second half of the year, and we saw margin expansion through that period of time. So that's the benefit of the strong demand environment that we see that's supported not just by our own backlogs, but with a very robust Buy America program, which mutes the direct impact to the import pricing scenarios.
Barbara Smith : As it relates, Timna, to imports in general, if you look at rebar imports, they're actually down compared to historical. But if you look at it more broadly, there -- the import levels have been stable around the 10%, 15%, which is very manageable in the U.S. market. And again, we've pointed to in the past calls the effect of the earthquakes in Turkey, which has disrupted the production over there and then the rebuilding effort. At the current time, maybe that introduced some of the softness in the scrap market because they weren't as significant a buyer of scrap. But we also think that provides longer-term support to an import environment that is stable and quite manageable for the market here. And as Paul pointed out, a lot of the demand in the future is going to have a by American component to it, which will not allow those imports to compete for that demand.
Timna Tanners : Cool. Yes. So on the Buy America, I was actually going to ask about that as you shift to more public demand and maybe more muted private demand. If you could quantify that Buy America amount? And then actually, my second question was just to take a step back and ask about capital allocation, bigger picture. So it sounds like you're stepping away from building new mills. And so I just wondered if you could talk a little bit more about how we should think about uses of cash going forward? I know you talk about M&A. Maybe you can expand on like what kind of companies you might be looking at downstream focus versus is there much left to do among rebar scrap guys?
Barbara Smith : Thank you, Timna. So -- sorry, I forgot your first question, but...
Timna Tanners : Just the Buy America quantifying.
Barbara Smith : Oh, the Buy America. Yes. Thank you. So I think it would be hard-pressed to put a specific quantification on it, Timna. And suffice it to say that anything that's got the federal funding to it, generally speaking, is a Buy America. And I think there's just a lot of statistics. You can look at each of the acts and you can look at the billions of dollars that are allocated to various whether it's energy transition or and chips the onshoring of certain critical manufactured products. And that is all on the come, but that's all going to be Buy America. But I don't have a strict quantification of that, maybe we can take that away and look into that further. As far as capital allocation and welcome any input from Paul and Peter after my remarks. I think we've had a well-balanced strategy. We've taken a look at our dividend policy over the last several years, and we've made a number of adjustments there, and we're proud of that. And that speaks to our confidence in the business and the ongoing cash flows. We've had the share repurchase program in for a period of time, and we continue to take advantage of returning capital there. Obviously, we have had a strong eye towards growth, and that continues to be a priority for the company. I I'll take a little bit of a challenge from stepping away from new mills because we are looking forward to breaking ground on our next greenfield project in West Virginia in the coming months, and these are massive multiyear projects. So that one is still something that we very much look forward to completing and getting the benefits from that. But clearly, we have made a number of acquisitions, and we will continue to study across the entire portfolio and integrated model that we have, whether that's recycling to support our raw material needs or whether that's within our steel manufacturing or downstream or in the case of Tensar, I spoke about our desire to look at ways we can continue to expand and grow that business possibly through some bolt-on acquisitions. Things like Tendon Systems is an interesting one. We're already in the post-tension cable business. It's relative -- it was a relatively small part of our portfolio, but one that we've been in for a while. It is similar to Tensar in that many projects not only consume the rebar, they also consume a lot of post-tension cable. And of course, Tensar participates in the excavation and ground stabilization portion of a project. So these are very complementary to what we already do to serve a massive construction project and just allows us to expand and offer our customer a broader range of solutions, which can save them time. It saves complexity if we have a broader solution for them than having to deal with four or five different suppliers and all the complexity that comes with that. So we see a broad field of opportunities for us going forward along our entire value chain.
Operator: The next question is from Lawson Winder with Bank of America Securities.
Lawson Winder : Yes, thank you for taking the time to take the question as well. I wanted to ask about the downstream pricing and maybe get a little color on your outlook and thoughts around that heading into Q4. So I mean, pricing surprised us very positively in Q4. And obviously, that helped margins. But just when you think about your order backlog and the new bidding, can you speak to the pricing but also the margin outlook for the end of the year and then looking into next year as well would be really helpful?
Peter Matt : Yes, Lawson, if we look at our -- the pricing environment in the fabrication business, as you can see from sort of the trailing four quarters really for much of this year, our pricing has remained very stable and resilient. And I think that, that comes from the perspective of the demand that's underlying and creating the strong backlogs that we have. And so that is the environment that, frankly, we see continuing to support us going forward. From a margin perspective, really, that will be driven from your expectations around scrap. So as we look to the fourth quarter, we do see some continued opportunity for overall margin expansion as the forecast is for scrap to remain soft through the summer. But there has been a really significant level of stability in the downstream in our downstream business. And I would say to the earlier comments, it really is seeing the benefit of some of these major projects, such as the semiconductor facilities. Those are very complex projects. They are -- they have the degree to which only a few players can actually execute them. And as a result, there is a premium for the complexity, of which we're able to deliver to our customers. And I think that's driven some of the uptick in the margin in that space, is the nature of the projects that we're servicing.
Lawson Winder : Yes. Thanks, Paul. That was a fantastic color. Could I also ask about just follow-up on your M&A comments, Barbara? Those were very helpful. But in terms of value, are you seeing good value in the M&A pipeline at this point?
Peter Matt : What I'd say is that we have to be patient on that, right? So in certain instances, we are seeing good value. I think the thing that the company has done is it's nicely put itself in a position to be patient. So we are -- we see a decent amount of activity and where the valuation is not where we needed to be, we pass. And we'll be patient.
Lawson Winder : Okay. And then just finally, it would be helpful to get your thoughts on Turkey and whether or not you're seeing any indications there of like a rebuild starting to gain some momentum and some real local demand starting to take form?
Peter Matt : So in Turkey, I think we are -- we've seen a slight uptick in utilization over the past month. But generally speaking, it stayed quite low. I think we're running at something like 50% to 60% utilization. The challenge that Turkey has, obviously, is there's -- you've got the combination of the damage that was done to the areas, but then you've also got the humanitarian impact and the challenge of getting people to be able to come to work and produce the material. So in general, what we've seen is we've seen Turkey step away from the scrap buy. So they're not as big a factor in the scrap buy. And we've seen them as less of a factor in the export market. So therefore, kind of imports from Turkey are lower than they have been in previous periods. And we expect this is going to continue for a while, while they kind of get things under control.
Barbara Smith : And If your question was aimed Lawson at the rebuilding, our experience would say that you're not seeing any consumption of structural products toward the rebuilding efforts at this point in time. You have a -- whether we point to Hurricane Harvey that occurred here in Texas a few years back or any of the other hurricane events. What happens is you've got cleanup and recovery and the things that Peter mentioned around humanitarian efforts, then you have a massive -- you have to demolish what was destroyed and then begin the reconstruction period. And so I think -- my personal view is I think we're still a year to 18 months out before you're going to see anything measurable in terms of rebuilding. That, of course, can be accelerated or decelerated based upon their government support and priorities. But I don't think we've seen any rebuilding efforts yet. And when things are resolved in Ukraine, you'll kind of go through a similar cycle before rebuilding is going to occur.
Operator: [Operator Instructions] The next question is from Emily Chieng with Goldman Sachs.
Emily Chieng : Good morning, Barbara, Peter and Paul. Thanks for the update is morning. My first question is just around any early insights you might have into fiscal '24 CapEx, particularly as it relates to the West Virginia mill, is there any indications cost inflationary pressures there? And anything left on the West Virginia mill ahead of ground-breaking that needs to be sort of met on perhaps some permitting or otherwise?
Barbara Smith : I'm going to take a crack at it, and then Paul might be able to add some commentary on how we see the cash flows related to that project. What I would -- as I indicated in my remarks, we are awaiting the air permit. We do anticipate to receive that very shortly. As I indicated as well, upon receiving the air permit, we will proceed in earnest with the construction. And so we don't anticipate any delays in the start of the project. What I would say from the inflation portion of your question is similar to some of the remarks that we've made. I mean we are seeing some abatement of supply chain issues and some abatement of the severe inflation impacts that we experienced with the Arizona project. So the labor market is better than some of the challenges that we saw in Arizona. We were in the midst of a concrete shortage during a portion of the project there.  So I think there is some abatement on the inflation side. Saving, things like labor in general has gone up over the last couple of years, and it's nothing different than any other project to see. I think what I would also say is, this is a target-rich environment for us, having just come off of the Arizona project and seeing all the challenges that we experienced there. And this is our fourth go at it. So we have a lot of experience in building these micro mills. And so we're going to take advantage of everything that we've learned from Arizona and put ourselves in a position to not have to deal with the same set of challenges that we had to in Arizona. And we will be looking very carefully at long lead time items. We will be making sure that we have those scheduled in such that we're either not waiting on something or we're pressured into paying a higher price to get something to be expedited.  So as I said, I was in Arizona on Monday. It was very exciting. The team that has supported that, there will be a lot of crossover to the team that is beginning to work on West Virginia. And we will absolutely take advantage of all that we've learned, and we do expect to have fewer impacts from supply chain. And at this stage, which is the very beginning of the project, we do see some moderation of inflation.
Paul Lawrence: And Emily, in relation to our forecast for CapEx next year, we -- as I guided towards CapEx this year to be $575 million to $600 million. That included really three buckets, included our normal ongoing CapEx and included the two large maintenance end-of-life replacements as well as Arizona 2. So as we look forward to 2024, as Barbara alluded to, the air permit we expect within the next number of weeks. And so next year will be a full year of construction activity in West Virginia. And so we sort of expect that to replace the spending that we did this year on Arizona 2. So the spending levels will really be similar to this year, excluding the two major end-of-life projects. So it will be lower. It will probably be in the $500 million, somewhere between $550 million at this early stage look at next year's CapEx.
Emily Chieng : Great. That's very helpful. And just one follow-up around the supply side landscape for rebar. Certainly, you guys have been -- had a lot of practice and experience in building micro mills. It seems like there are a couple of other announcements out there around other micro mills being constructed. Do you have any concerns around the level of supply growth that could be on its way over the next couple of years?
Barbara Smith : Yes. And we monitor all those projects and I don't know how closely the analyst community monitors some come to fruition and some don't. And so I think based on our knowledge of the activity that's going on out there. I think that the market will absorb it. I don't think that every project that is being talked about will ultimately be executed on. And I just point to history. And when we introduced the Durant facility, there was a lot of dialogue and concern. And that facility was absorbed in the market because we start with looking at the need in the marketplace. And as we outlined earlier, there is certainly a massive structural shift that's going on that is going to require really strong demand going forward. But I think we'll wait and see how many of these projects actually get executed. But right now, we're not concerned about that.
Operator: The next question is from Alex Hacking with Citi.
Alex Hacking : So on Tensar, the EBITDA for the last 12 months was fairly similar to the levels when you bought it, I think, $60 million, $65 million, if I have my numbers correct. As you look forward, you see this as a growth opportunity, what kind of CAGR you think is reasonable to expect from that segment?
Peter Matt : So first of all, in commenting on the performance year-to-date, you know that we have commented that we had some challenges on the manufacturing side that would have impacted our EBITDA this year. But in general, as we look at the opportunity going forward, we think that we should be to grow the business in the high single digits area. And the other thing, just kind of coming back on the performance since the acquisition, remember that with the war in Ukraine, we were forced to kind of sell the Russian business, which was a contributor to EBITDA. So those are some of the factors. But I think going forward, we're very excited about it. We see, I would say, more opportunities today than we saw at the time that we did the acquisition, and we're confident that we have the tools to grow it.
Paul Lawrence : And really reinforced by the acquisition that we did about a month ago of the facility up in Oklahoma to give us more flexibility to address the production and the strong demand that we're seeing out of that business that I think really supports the ability that we have to recognize that growth that Peter outlined.
Alex Hacking : Okay. And then second question would be on merchant bar. I mean, are you seeing the same trends in merchant bar as you're seeing in rebar? Are there any particular pockets of strength or weakness in merchant bar? Any comments there would be helpful.
Barbara Smith : Yes. I think it's a stable market. There are obviously -- it's probably a little more dependent upon manufacturing activity. And there's been ups and downs since the global pandemic in terms of recovery of manufacturing activity. I think the most encouraging thing is, again, back to all the reshoring. And the going forward, we're going to see a lot more manufacturing activity in the U.S. market, which is potentially going to support further growth in the ongoing need for merchant type of sizes and shapes and different applications, but we really remain optimistic about the demand profile there. There's really only one area that may be showing some sign of weakness, and that's in the joist and deck. But that's been well publicized by others that are bigger players in this space than certainly we are.
Operator: At this time, there appears to be no further questions. Ms. Smith, I'll now turn the call back over to you.
Barbara Smith : Thank you for joining us on today's conference call. We look forward to speaking with many of you during our investor calls in the coming days, and we hope everyone has a great day. Thank you.
Operator: This concludes today's Commercial Metals Company conference call. You may now disconnect.